Operator: Good morning. My name is Angel, and I will be your conference operator today. At this time, I would like to welcome everyone to the Third Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator instructions] Thank you. Ms. Lowden. You may begin.
Caroline Lowden: Thank you, Angel, and good morning everyone. Thank you for joining us for the BlueLinx third quarter 2015 earnings conference call. This call is being webcast on the Company's Web site at www.bluelinxco.com. The earnings release and presentation slides for this call can be found in the Investor Relations section of the Company's Web site. Joining us on the call today are Mitch Lewis, Chief Executive Officer and Susan O'Farrell, Chief Financial Officer. Before I turn the call over to Mitch to discuss our current results, I want to remind you that this presentation may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements about our future operations and financial performance. These statements are subject to risks and uncertainties that could cause our actual results to differ materially from those provided, including, but not limited to those identified in our press release and discussed in our filings with the Securities and Exchange Commission. Forward-looking statements speak only as of the date of this presentation. And we undertake no obligation to revise them in light of new information. Today's presentation includes references to non-GAAP financial measures. A reconciliation of these to the most comparable GAAP measure is included as an appendix and is posted on our Web site at bluelinxco.com. With that, I'll turn the call over to Mitch.
Mitch Lewis: Thanks, Caroline. We’re pleased to announce today our second consecutive quarter of positive net income as we reported adjusted EBITDA of $10.5 million. This is the first time since 2007 that we have had back-to-back quarters with positive net income, while we're pleased with the progress, we realized that a great deal of opportunity and hard work remains. Our emphasis on focusing on customers and markets with higher contribution margin coupled with our expense reduction activities enabled us to perform relatively well in the third quarter, while revenue for the quarter was down 5.8%, 75% of this decline was directly attributable to the deflationary cost environment we experienced in our Structural Market segment during the quarter. In fact unit volumes for our structural wood products for the quarter actually increased by 2.6%. In addition, our specialty sales increased by around 2% during the quarter when adjusting for the outdoor product disintermediation we experienced at the beginning of the year. Our emphasis on margin enhancement continues unabated. We now have dedicated resources driving margin improvement through analytics, information system enhancements and sales and management training, and we were pleased to see that this investment is paying off as our specialty product margins increased 24 basis points compared to the third quarter in 2014. We’ve also made solid progress in our operational initiatives over the last few months. Our $6.2 million reduction in SG&A cost compared to Q3 last year is evidence of our progress on these initiatives. We're executing on several lean and cost saving projects which have helped drive down our operating costs as we continue to run the business more efficiently. We also continue to closely monitor our headcount which is currently 3% below levels a year ago. In addition our emphasis on contribution margin by products customers and markets has made a meaningful impact by reducing non-profitable operational activity. Our focus on efficiency has not detracted us from our investment in people, as well as products to grow our business. We are adding additional resources to our industrial market teams across the country, as we've identified this market as a high potential growth area for BlueLinx. In addition, we have streamlined and increased our structural sales teams to take advantage of our collective expertise, garner economies of scale in select purchasing skews and react quickly to our markets and customer demands. BlueLinx has made great progress over the last several months on contribution margin assessment, expense management and operational improvements. Now we have our sights clearly set on profitably growing our business. We're introducing new incentive programs for the sales teams, enhancing their capabilities with technology, realigning our organizational structure to focus on key markets. Increasing the number of our sales associates and structuring the business for sustained growth in the months ahead. We also continue to invest in value-added equipment, as well as products that are wholesale distribution-friendly. We are on our way and we look forward to sharing our progress with you in the months ahead. And now I'll turn it over to Susan who will discuss our financial performance in more detail.
Susan O'Farrell: Thanks, Mitch and good morning everyone. It's my pleasure to speak to you today about our business, as well as our third quarter results. As we move on to the results for the quarter, we’re encouraged by our performance as Mitch mentioned. This positive net income for the second quarter since 2007, we are demonstrating our ability to perform in the areas of our business that are within our control, such as driving specially gross margin up or driving operating expenses down and that’s a terrific combination. Revenue for the third quarter ended October 03, 2015, was $517.8 million, down $32 million or approximately 5.8 million compared to third quarter of 2014, revenue of $549.8 million. The decrease year-over-year was primarily driven by the structural price decrease of 11.9% or $24 million. Our structural and specialty product volume is relatively flat overall for the quarter. Demand for our structural wood products was up 2.6% for this quarter particularly in our lumber and LSB categories. Within our specialty products, demand for specialty lumber, standard plywood and structural siding was particularly strong each with double-digit volume growth this quarter. In the Atlantic and Midwest, our specialty lumber and standard plywood categories did particularly well. The benefit we saw in both specialty lumber and standard plywood demonstrates the value-add programs we have in place for these distribution-friendly product categories. Gross profit for the first quarter was $60.8 million compared to $64.6 million in the third quarter of 2014. Overall gross margin for the quarter was 11.75%. We are pleased to see specialty gross margins up 24 basis points year-over-year with the strongest margin growth in outdoor decking, roofing, vinyl siding and moulding categories. These improvements are attributed to our category management sourcing and pricing teams, as they work with both our supplier partners and local markets to ensure cost and pricing optimization. Net income was $561,000 in the third quarter of 2015, compared to a net loss of $860,000 in the prior year. This represents again the second consecutive quarter of positive net income. We strive to control what’s within our power and our positive net income over the last two quarters demonstrates our ability to focus on running a more efficient business. Our adjusted EBITDA of $10.5 million compared to $11.1 million in second quarter of last year. On Slide 9, our selling, general and administrative expenses were down $6.2 million or 11.1% in the quarter. We have a core value of continues improvement and as a result we’ve been able to develop a leaner more agile corporate support function. We strive to deliver improvements like this in all facets of our business. With warehouse sales as a percentage of our total revenue at its highest point in our history, we were really pleased to see our logistics costs were actually down 3% this quarter. These were achieved through a wide variety of key expense savings in the Company. We are anniversarying restructuring cost from last year and continue to recognize benefits from our lower fuel cost as well. As we have brought in 40 new tractors over the course of the year, we see that our miles per gallon from this younger and more efficient fleet. Other areas of savings were lower sales related costs, as well as lower costs in category such as professional fees. Our net debt has continued to decline over the past year, down $5.3 million from the year ago period. Our declining mortgage balance is a key component of that reduction in debt. Our outstanding mortgage balance as of October 03, 2015 was $162.9 million net of the $5.9 million cash track. As you are aware, we are exploring our options for refinancing of our mortgage. We have evaluated a variety of alternatives with lenders who are actively engaged in discussions with their credit teams. As we continue to move through the refinancing process, we are well positioned to avoid costly prepayment penalties, which are approximately $1 million per month through the end of December 2015. We have shared with you our historical appraised value of our properties, which as of 2006 was approximately $320 million. In connection with our refinancing efforts, we recently received a desktop valuation of our real estate from a large national recognized firm. They indicated a fair market value estimate with market rent and place in the $332 million to $352 million range. We anticipate that this more recent and higher valuation were service well as we continue our refinancing. Finally as of quarter end, we have $64.2 million of excess availability which is a $4.2 million increase from year-end. Turning to cash flow on Slide 11, our year-to-date operating cash usage improved by $24.8 million or 46% compared to year-to-date last year. The decrease in cash used primarily reflected the difference in inventory positions at the beginning of 2014 compared to 2015. We had more inventory on-hand at the end of 2014 and purchased less in first nine months of 2015 than we did in the prior year. Our improved polices around demand planning and supply chain are benefitting us in this area. In total, our working capital on a trailing 12 month basis was down $4 million versus the end of the third quarter of 2014. Thanks once again to our BlueLinx associates to strive to be the reason customers choose us. Our associates focus on continuous improvement, delivering on operational excellence, and certainly on customer service that is above the rest. With the ThanksGiving holidays ahead of us and on behalf of our entire team, our sincere thanks go out to all of our customers and suppliers for their continued support. That concludes our remarks. So with that Angel, we’d like to open up the lines to any questions we might have today.
Operator: [Operator Instructions] I have no questions -- I am sorry you do have a question from Alan Weber.
Alan Weber: So, I guess a quick question, you talked about you went through pretty quickly but you talked about I guess now there is more of a focus on increasing profitable sales and hiring sales people, please kind of explain where that actually stand as you hire people and when does that really start to show up or when do you expect that to show up in the results?
Mitch Lewis: Yes sure, so what we've done over the last 90 to 120 days or so is evaluate as we talked about where we're making on money and one of the areas I mentioned is in the industrial market. And there are other markets that we deem from a product standpoint are a very wholesale distribution-friendly as we called it, areas where we feel like we can makes good margins and not suffer a risk of disintermediation in the future. So we are as we speak reorganizing the team so that we have -- and are brining on leaders for example by region for those industrial market coronating a restructuring of the organization, so that we have the sales teams in those markets are reporting directly to those spokes and as we speak are hiring those people. So we have a plan at to go out over the next three to four months to hire several new sales associates to help augment that. As a practical matter we are clearly focused on higher value-added sales, so not the traditional bid ask product offering values that we have seen in the past and so, Alan that takes a little bit more time, so I think we'll start seeing these opportunities manifest and so on the top-line beginning and what we think about is the first quarter, towards the end of the first quarter and certainly into next year.
Alan Weber: Okay. And I guess you're comfortable at this point that you have the right people in place to even train and hire the right sales people?
Mitch Lewis: Yes, that's a great question, yes we've really augmented our HR team, which is -- and included things for example now like psychological testing of new sales reps that we really didn't have the sophistication to do historically. We're in the process of bringing on a sales excellence leader for the organization to help not only assess existing team members, but also certainly people that come in. We have a robust process for on-boarding that we're developing for the new sales reps to make sure when we bring them in the door that they are capable to let’s say to hit the ground running when we actually deploy them out in the field. So, that's longwinded answer Alan but the real answer to the question is yes. We feel really good about where we're driving the organization with the team that we have to enable us to bring in talented people and have them effectively improve the performance, the top-line performance of the business.
Alan Weber: Okay. And then just I guess on the debt side, when do you hope to have that in place to have most permit financing?
Mitch Lewis: So, we've again talked consistently and Susan mentioned it just again today on this prepayment penalty that we try to navigate through. I think we also indicated that we have in last few months engaged Estill to help us to do this so, we're in the midst of it. Unfortunately, we can't report anything today, but we're certainly aware of the timeline we serve, don't want to get close to the termination of existing real estate Alan. So, we're aggressively pursuing it and hopefully we can be able to report something publically in the near future.
Operator: There are no further questions.
Mitch Lewis: Okay. Well, thank you. I know we have a lot of folks listening in today and appreciate it Angel and we look forward to updating you as usual on our progress in the first quarter. Have a good week. Thank you.